Unknown Attendee: [Audio Gap] 2026. In a moment, I’ll hand over to József Váradi and Ian Malin. [Operator Instructions] With that, I’ll hand over to József.
József Váradi: Thank you. Good morning, everyone. Thank you for coming. So this is our Q3 results. I would just like to set up the stage for the discussion today. Could you please move the slide? Yes. So we are up on passenger numbers by good 12% on the back of capacity increase ASK terms, 11%, slightly lower RASK than last year. But I think this is pretty much in line with what we guided to the market. EBITDA is up 12% and our cash improved to EUR 2 billion. Important to note that in the meantime, we have actually repaid the EUR 500 billion (sic) [ million ] outstanding bond. Net loss was improved to EUR 239 million by around EUR 100 million versus last year. So we’ve seen that these results are consistent with what we have told the market we would deliver. So no surprise. So with that regard, it’s a fairly benign report this time around. If you kind of dig into some of the attributes and driving factors, revenue growth came out as good 10%. Please take note of the fact that our stage length is down by about 5%. So obviously, this is somewhat affecting unit revenue performance. GTF engine recovery continues to unfold. So we are now grounding 33 aircraft versus 40 a year ago. As you know, the plan is to uplift the aircraft completely by the end of calendar year, 2027, and I think we are on track on that. As said, liquidity strengthened to EUR 2 billion, of which we repaid the EUR 500 million outstanding bond. I think there were market speculations what would happen to that bond, extended or not, but it is behind us now. The network reshuffling has been continued. As you know, Abu Dhabi got closed a while ago, and Vienna base we are closed in March, and we have transitioned significant capacity to Central Eastern and Europe, pretty much across the whole of Central and Eastern Europe. Reopening previous bases in Romania and opening other bases in Bratislava, Podgorica, Yerevan, or Warsaw-Modlin. A number of aircraft allocations have been announced in this period. Again, this is pretty much across the board in Central and Eastern Europe, but also in Western Europe, particularly in Italy. We are managing the fleet growth. We have not only managed the fleet growth, but we also moderated capacity going through the weaker second half of the financial year in the off-peak period. That’s why we ended up with lower utilization. But again, I think you need to consider it as kind of a transitionary period. This is an issue at the time we are going through, but productivity and utilization will ramp back up going into the next financial year. So summer capacity, I think we are fairly clear on that by now. We are seeing ASK growth of around 24% coming through, which will translate into around 30% seat growth. Again, you recall, we guided you on this, that while we are looking at medium-term growth rate of around 10%-12%, it still takes some time to get there, given the aircraft order and the GTF uplifting process. So the next period is still going to be high growth, and then we start moderating it down in the second half. As of the next financial year, fiscal ‘28, you’re actually going to be seeing the growth rate, what we were talking about. Accordingly, the fleet plan is adjusted for that. So again, high growth in the first half, in the summer, fiscal ‘27, and somewhat of a moderated growth, coming closer to the target in the second half of fiscal ‘27. And with that, I would hand over to Ian with regard to the numbers.
Ian Malin: Thank you, József. Could you go to the next slide, please? So before I dive into the numbers, I just want to clarify one rumor going around. We do not have plans for scheduled service to the United States. We are -- we have applied for charter rights for the World Cup flights next year, potentially. The beauty of charter is that we have an aircraft that can do it in the form of the XLR. The competition does not, and we would only do a charter if the money makes sense. So you sell the flight in advance, you collect the cash in advance, you price it accordingly, and the profit’s locked in. So that’s not... That’s an example of us being opportunistic and looking at ways for us to diversify our revenue stream, but I would not expect there to be a material impact to the numbers based upon that. The application allows for you to select a checkbox for scheduled, and that checkbox was selected, but I think somebody’s taken that far out of proportion. So there’s no change to the business model other than opportunistic charter costs based upon the mission that that aircraft can fly. In terms of this slide now, so we generated a EUR 139 million loss this quarter, 42% better than last year. And that was driven by, as József already summarized, 11.1% more ASKs. I should also point out that from a seat capacity, seats grew 13.1%, giving us more units in terms of the seats to be able to sell. That means that we’re generating more sector productivity and that is driven by the lower stage length. That’s actually 1.8% decline this quarter, although we will see the stage length and the whole network come down as a result of the business densifying and fortifying into Europe. Ticket RASK was up 0.2%, but ancillary RASK was down for total RASK increase or decrease of 0.8%. That ancillary RASK reflects the shift in terms of the network, moving away from those longer stage length flights, where we were able to have a different profile of ancillary services. Ancillary remains an area of focus, and we will continue to look at ways for us to recover that decline that we saw this quarter. But overall, 0.8% lower RASK, better than I think what people were expecting. However, I will emphasize, not as good as what we would like, and we’re going to continue to focus both on ticket and ancillary RASK going forward. Load factor was marginally down, and that is driven by, again, I think to some extent, the seat capacity. So we have a bigger gauge aircraft, which means that, I think that a 0.5 percentage point down, given the growth is, is not anything to be concerned about. We’re certainly not, other than focusing on improving that. Which means that overall, the combination of RASK and ASKs generated just under EUR 1.3 billion in total revenue, up 10% year-on-year. EBITDA, I will emphasize, was, the EBITDA margin was the same as it was last year, 13.6%. So we were able to preserve EBITDA margin despite the growth and despite the changes coming through the business, and so that’s important to emphasize. However, we do see pressure on depreciation, which I’ll explain in the next slide when we get to the cost side of things. So overall, I would say that, you know, revenue came in probably better than expected, and costs came in probably better than expected as well. Although, like I said, what we were expecting was anticipated and certainly is still opportunities to improve. If I can go to the next slide, please. So in terms of the cost position, we were able to keep the ex-fuel CASK growth to 2.1%. That is in line with what we were communicating throughout the year. And full CASK was up 2.3%. The fuel line was driven by, to some extent, the fuel pricing, but also the cost of the emissions credits. We’re seeing some inflation in terms of the emission credits, which is putting some pressure on that, and we are, like everybody, receiving fewer free allowances, which means that we have to incur more cost there, although that impacts us less, given the baseline that we’re coming from. In terms of the rest of the cost structure, so I think staff costs in line so with ASK growth. And then the areas where we do need to focus on, and we are focusing on, are the ones that we’ve talked about, so maintenance and depreciation in airports. So maintenance has gone up, again, in line with expectations and for the reasons that we know about, which is that we are planning on retiring 18 current engine option A320ceo aircraft this year. That compares to 3 last year, so a 6 times increase. And when you return those aircraft, they come with event-related costs. The event is the return, and you have to comply with the lease return conditions. And the problem with that is that that requires maintenance capacity, and maintenance capacity is scarce due to all the supply chain channels, all the supply chain troubles happening in the industry. And maintenance has just simply been higher due to inflationary pressure. So we’re having more event-related costs at a higher cost base. However, the good news is that we are seeing that in the next 3 years, we will retire most of our CEOs, 18 this year, 19 next year, 16 in the following year, and with that, those event-related costs will reduce. Likewise, a portion of maintenance costs flow through depreciation, and we have 70% more aircraft in the sort of 8 years or older bucket in 2026 versus 2020. And so as a result, we’re attracting higher depreciation costs in the form of maintenance depreciation than we were if you want to look at us pre-COVID, which means that those costs will simply eliminate as those aircraft are returned, but it is a transition that we have to go through. So these costs, particularly in maintenance and depreciation, are high year-over-year, but they’re driven by specific symptoms or outcomes based upon symptoms that we knew that we were going to be experiencing. Airports and handling and en route, it’s a bucket of 3 lines there. Handling is actually – we’re starting to get a handle on it, but airports and en route still are elevated. En route is due to higher pricing around navigation charges that we see across our footprint. I think many airlines are frustrated with those costs. We certainly are. That’s a network design issue to some extent, that we will be factoring into our decision making. On airports, we did a deep analysis of the cost base from fiscal year ‘20 to where we are today, and we saw that post-COVID, when we were growing, we were able to keep airport costs under control. So certainly, we were seeing cost efficiency coming through there. But then when we were hit by the powder metal grounding and our growth went from 10% to 12% to 0%, we lost the benefit of the incentives that we had negotiated. We lost the benefit of the rebates that we were expecting to generate, and we’re now in the process of having to redeploy capacity in a way that we can get those back. And so the problem with that is that, we’ve said this a few times on these calls, it’s a timing issue. We have to demonstrate the growth, we have to deliver the growth, we have to commit to the growth, and we have to measure it, and that takes time. But that’s the gift that we have now with capacity growth coming back. Again, 11%, 10%-11% this quarter, roughly the same next quarter, and then next year we have quite a tool to deploy when it comes to that capacity. So yes, there’s going to be a lot of pressure with that capacity in terms of deploying it. We have some exciting ambitions and plans on how we’re going to do that, but we’re also going to use that capacity sensibly to make sure that we tackle those cost lines. In terms of the one-offs or the other income, as I like to call them, the one-offs. So we did see a higher sale-leaseback benefits this quarter. That was again anticipated. No surprises there, and we were able to keep disruption costs in line with where they were last year. We had a pretty reliable third quarter last year, and the same happened this year, and we were able to continue to improve our wet lease costs and to bring that down. So overall, I would say that the cost picture was in line, if not marginally better than expectations. But that’s exactly what we’re trying to do now, is just to deliver expectations, and we did that this quarter, we did it the prior quarter, and that’s the plan as we march through this transitory period. If you could go to the next slide, please, just to look at the cash profile. So again, things are in line with expectations. We were basically flat on free cash flow. We ended up the quarter with just under EUR 2 billion in cash, just a smidge, and EUR 1.98 billion. That’s up EUR 400 million versus the prior year. And our liquidity ratio, so the percentage of cash to last 12 months’ revenue, increased 5 percentage points to 34%, which is one of the highest in the industry. Now, that cash balance has of course, been reduced through the bond repayment that happened on January 19, as József said, and that was anticipated. We did, on the 23rd of December, renew the bond documentation, and so that program remains available to us, for the future. But at this point, we don’t see any requirement to raise debt, and therefore we won’t, but we have that option on hand. Our cash profile going forward is robust. We have the benefit of a earlier Easter in the beginning of April this year, which means that the cash volumes will start building as we enter into February and March. And with the growth coming in the summer period, that will deliver a large amount of unfilled revenue. So we expect to restore the cash that we expended on repaying the bond, relatively quickly to get back to a number north of EUR 2 billion, and that will then grow, depending on how we ultimately deploy that cash into fleet or other measures. In terms of the fleet, we are -- Actually, there’s a fleet slide. I’ll let Joe talk about the XLRs. So I think that’s it for me. I will also just take a moment to thank everybody from the analyst community. This is my last call as official CFO. I welcome my predecessor, my successor, Veronika Špaňárová, who joins on Monday, and I will, of course, be in the room with the team to make sure that she is set up for success, as is the company. So thank you, all.
József Váradi: Thank you. Could you please move it to the, to the next slide? But maybe in the meantime, I would just want to thank Ian for the tremendous job that he’s done, contributing, in a, in a difficult, challenging period, in his intellectual capacity and professional capacity as CFO, but also playing a very good corporate citizenship in the company. I mean, we all, had to act like a team, you know, to face all these challenges arising from geopolitics, supply chain, et cetera. And I think now we are starting to see some, some sunshine, coming through, and hopefully, that you, will also be seeing it, and Ian has been instrumental to that, to the development. So thank you for that, Ian.
Ian Malin: Thank you.
József Váradi: So with regard to the fleet, I would like to kind of put fleet matters into a history perspective also, to give a bit of a forward-looking view on, on that. So historically speaking, the company has celebrated 2 major milestones, fairly recently. One was the 250th aircraft delivery, 250. I don’t know what it means, but it felt, a milestone, to us. And secondly, maybe more significantly, we celebrated the 500 millionth passenger, in aggregate since inception. Now, we looked at the 500 million passengers. So what is the meaning of, of that? And we figured something out. It took us 21 years to deliver 500 million passengers. Then, this is an absolute record in Europe and probably close to a world record as well. We didn’t look at the world, but we looked at Europe. And guess how many years it took for the second best in Europe to get to 500 million passengers and who that is? I help you, 34 years, and it’s called Ryanair. Okay? So when you think about the world in a bigger perspective than just an exporter, please recognize this, that we are at a pace which far exceeds everyone else’s pace ever in history in Europe. The second thing I would like to say is that you take a prospective view on the fleet. So imagine Wizz Air in 2 years from now. So that’s. I know this is more than a quarter, but this is not that much far out. In 2 years, we’re going to be effectively fully converted to A321s, which is by far the most productive aircraft you can imagine in the single-aisle aircraft community. And basically, we’re going to be converted into new technology, neo technology, and all the aircraft will fly, and nothing is going to be on the ground. And what kind of an efficiency that can create, and what kind of a competitive platform that would create for this? We are 2 years away from that. And in terms of kind of navigating ourselves through the next 3 years, you see that we revamped the aircraft delivery program. So effectively between fiscal ‘27 and fiscal ‘28, hardly any deliveries, new aircraft or there will be new aircraft deliveries, of course, but there is churn of the fleet. So, you know, most of it is going to be replenishment as opposed to net growth. So the growth will come through gauge, and uplifting the grounded aircraft and sector productivity. So basically, these are the 3 sources of growth, in that period. And you can see that if you look at the, the next 4-year CAGR forecast, effectively, we’re going to be growing the fleet by around 7%, but capacity will grow by 12%. So that’s kind of the level of efficiency that we will derive from the fleet program. I would also want to make a comment on the XLR, because I think there is a bit of a misconception on the XLR here. So first of all, our program is scaled down from 47 to 11 aircraft. Full stop. 6 of those have been delivered, 5 to be delivered in the next 8 months or so. Now, you take the XLR. We were saying that the XLR has to be long haul. It, it doesn’t have to be. So we looked at the unit economics of the A321neo, the A321XLR, and the A321ceo. The A321ceo is an inferior aircraft to the XLR in terms of unit economics. So if you operate the XLR as a normal A321neo operation, rotated on short, medium-haul flights, it delivers better economics than the A321ceo. A little inferior to the A321neo, of course, because of the weight penalty, but it’s fairly marginal. So we don’t have to force ourselves into long routes or unproductive almost long-haul operations. You simply just operate the XLR as an A321neo, and you get a lot of the economic benefits of that, and still far superior to the Boeing 737, and still far superior to the Airbus A320. But we are currently operating a few of those airplanes. So no stress about the XLR. So we don’t have to make stupid decisions just because we have an aircraft called XLR, and we have to push ourselves into long route. Now, of course, if you find appropriate commercial and financial opportunities to deploy and operate the XLR, as XLR, we will do that as we are doing it from London, Gatwick. We are flying Jeddah, Medina. Those routes, I think, exceed expectations significantly. But we don’t have to fly all the 11 XLRs and XLRs. We may end up flying only half of them. We will see, but we can be, you know, a lot more measured on financial expectations with that regard. So we feel good about the fleet plan. We think we are arriving to a shape on that that actually makes a lot of sense for the long-term ambitions of the business. Not in terms of, not only in terms of delivering growth, but also delivering financial performance through it. If you please move it to the next slide. So if you kind of put the puzzle together, what we are trying to do here, just to recap, so we have a number of strategic initiatives. We are moving. One, we have been addressing our weaknesses in terms of financial performance. We cease the Abu Dhabi-based operation, and we are ceasing the Vienna base operation as well in a few weeks from now. That basically addresses the structural issues we have been having in the network design. Secondly, we have reset the Airbus order book, as you can see. We’re seeing that this is deliverable, this makes financial sense, and it is executable, and makes a lot of sense with regard to enhancing our market positions, and delivering enhanced competitive advantages with regard to cost performance. XLR is reset, it’s resized, but also resold. As I said, XLR doesn’t have to be XLR necessarily. And the weight penalty actually is a lot less than alternative aircraft types what we are operating, or competitors are operating at the moment. We continue to reshape the network for the better, for more fortification of strengths, and exploiting opportunities in the business. As we speak, I think we are seeing market opportunities pretty much across the board, so they are not down to 1 or 2 areas, but we are seeing fairly consistent performance, fairly consistent improvements, and fairly consistent prospective opportunities for deploying more capacity. Then, of course, you can talk about Israel, you can talk about Ukraine, and you know that our discussions in Israel are ongoing. Time to time, it becomes very topical. Ukraine, we all know the situation. We will jump on Ukraine. We’re seeing that Ukraine is a significant opportunity, but I will have a slide on that just in a moment. Then we continue to unpark. We are 2 years away from uplifting the entire aircraft, so we are really coming down on the parked aircraft. No matter how you look at compensation, we are not in the business of compensation. Compensation is a good thing when it’s a force majeure on the business, but we should be able to better monetize the asset on hand when we fly, as opposed to when we ground and get compensated for that grounding. And as said, we continue to innovate our fleet, moving over to new technology. I would say that the Advantage engine is coming. So we are within a year from that. Please know that Advantage has 2 applications: 1, that new aircraft will be delivered with Advantage engine; 2, existing fleet can be retrofitted with Advantage, and can do probably 80% of the improvements on the technology. So actually, that’s a big deal, and it’s a big enhancer of economic performance coming through that technology. So next slide, please. So just want to give you an update on Ukraine. We don’t have a crystal ball. Personally, I think we are coming to an end, and the guys just need to find a way to finish it. But probably pressure is now building up on all sides sufficiently to get there. Nevertheless, we are ready. We are ready for Ukraine. We kind of phased our plans into 3 chapters, kind of the initial chapter being you know, the quick get back onto Ukraine as inbound carrier. I think we can activate that capacity imminently when the ceasefire is put in place and the system gets reopened. According to European constituents, it’s probably going to take around 6-8 weeks to reset Ukraine for purposes of air traffic control, mostly, before you can perform flights. And we will see how quick the ramp-up is going to be on the Ukrainian side. We’re going to be inducting capacity accordingly. But we have an initial plan to launch 30 inbound routes immediately when the system opens up, followed by another wave of expansions through base capacity. You recall, at the outbreak of the war, we had 2 operating bases in Ukraine, in Kyiv and Lviv. We would be reinstating those bases, and that would give us another layer of growth opportunities next to the inbound flights. Also, we could start flying outbound. We’re seeing that at that time, we would be ramping up to roughly around 5 million seat capacity. This is a combined of around 10 aircraft, based and flown inbound, in Ukraine, at year one. And then you kind of take a year 3 approach. We’re seeing that the business is going to go to around 30 aircraft, 15 million seat capacity, by further enhancing our route network, possibly opening up new bases in Ukraine. So that’s the plan. That plan is on the shelf and may be activated immediately when we have the opportunity to do so. So, you know, we used to be hometown airline to Ukraine. We will be hometown airline to Ukraine. We’re going to be first to go, and I know that there are other airlines with ambitions to go into Ukraine, so we don’t expect to be alone. But we are fully committed, and we have the plans. We have the aircraft. We still have ceo aircraft, actually, as a matter of fact, in Ukraine, so we have never left that country, that market, and we would need to put those aircraft also back into conditions to operate. Next slide, please.
Ian Malin: That’s it. Q&A. Oh, sorry, go ahead.
József Váradi: Yes. So, just to wrap it up, so with regard to fiscal ‘26 full year outlook, as guided before, we are expecting around 10% capacity increase. You know, the fiscal ‘27 is going to be a year when we’re going to be at high growth in the first half and moderate growth closer to the assumed new normalities going forward in the second half. Load factor is expected to be flat. RASK flat. CASK total CASK to be around flat to low single digit year-on-year. I think Ian explained the attributes to that. And net profit to be around breakeven, so we are putting it in the range of EUR -25 million to +25 million. These numbers are consistent with previous guidance and expectations, and of course, from here on, going into fiscal ‘27, as the business is going to be ramped up more, more productively, given the less exposure to grounding, stocking up the excess fleet, like coming out of Abu Dhabi, et cetera, which will be deployed by that time. We’re seeing that from there on, you should be starting seeing improvements on a structural basis. And with that, this is the end of the presentation, so questions, please.
Unknown Attendee: [Operator Instructions].
James Hollins: It’s James Hollins at BNP Paribas. Ian, congratulations on your tenure and your new role, and thanks for everything. And on that note, I’ll start with a sustainably dull question on sale-leaseback and compensation. I was wondering, obviously, you’ve given full year ‘26 guidance. I’m wondering what you’ve included for fiscal Q4 for sale leasebacks and compensation income. And I know you prefer to fly aircraft than get compensation, but maybe a very broad figure, as we might look at it today, on how much the headwind is on the compensation line, fiscal ‘27 versus fiscal ‘26. And then probably for József, I know you’ve passionately said you’ll never do transatlantic, and I know you don’t want this question, but let’s assume you’re never going to do transatlantic as a schedule. But just on the charter side, I was wondering if you could run through sort of what interest you’re getting on the charters, what that would mean for capacity, I guess, based on the level of interest you’ve had, and whether, you know, 30% seat growth this summer slightly scares you, and maybe you’re thinking about any other ways of reducing that in terms of, you know, moving out on wet leasing out or chartering other aircraft.
József Váradi: Let me start with the U.S. thing and capacity increase. I think you guys should think of very little when it comes to the U.S. matter. I think it is a good exposure communications-wise, but substantively looking at it, it is a low-profile matter to the air company. And maybe just for you to understand the history here, so about 2 months ago, we were asked by the Hungarian government to perform a charter to the U.S., taking the Hungarian government from Budapest to Washington. And Wizz Air UK performed that operation because Wizz Air UK is the entity of the group that actually is recognized for regulatory purposes, oversight purposes, by the U.S. FAA. Because Hungary and Malta, the 2 other airlines, are under EASA governance, but EASA is not recognized by the U.S. as a governance body because they only recognize the national authorities, not like a European authority. And we saw that, you know, these sort of matters may reoccur. You know, the World Cup is around the corner. In 2 years, Olympics in Los Angeles. So let’s just be ready for inquiries like this, should they come along. And, as opposed to kind of doing last-minute ad hoc chaos with permits, we just have it on hand, and we can activate when there is a need. But that doesn’t translate into anything structural in terms of ambition to fly regular charters even, or, you know, certainly not scheduled flights. I mean, this is really a simple regulatory contingency, what we are trying to secure. So please don’t think too much into this, because there isn’t anything to really think about it. And this is not going to move the dial on capacity, so this is not going to be 1 percentage points or 2 percentage points. It’s going to be totally different from that. But with regard to 30% seat growth, I think it depends how you look at it. I mean, of course, it’s a big number and, you know, it may be scary, although we said we would have a high growth in the first half of fiscal ‘27. But if you look at how that growth is sourced, it is actually not coming through excessive fleet deliveries. This is all coming through by eliminating some of the inefficiencies inherent in the system at the moment. So we are lifting aircraft. We are increasing sector productivity. So using the same assets on hand, which cost us at this point in time, and you put that into a better production, yes, it will increase the growth rate, but at the same time, that comes through efficiency measures. So this is not excessive fleet growth. I mean, the fleet is effectively not growing. Hardly any growth coming through the fleet. So I think as far as I’m concerned, this is a lots better way of delivering growth than by adding more aircraft to the system. It will put pressure on RASK, but at the same time, it also gives an upside to CASK because you increase utilization, you create more efficiency, more productivity in the system. And, you know, you look like a year or 2 ahead, it will create the opportunity for maturity of the new investments, of the new routes. But this new capacity is not going to be like brand-new capacity. We are not opening Uzbekistan. We are not opening Nigeria or anything like that. I mean, we are enhancing strongholds what we have already created. We are fortifying some of the best-performing markets. We are joining the dots. We are improving products by increasing frequencies on existing routes. Actually, that enables us to tap into, you know, higher quality demand, business traffic, on some occasions, et cetera. So I think this is a de-risked growth profile. So it’s a big number, but it is de-risked as much as it can be.
Ian Malin: Okay, so in terms of Q4 sale-leaseback activity, look, I mean, these things are driven by availability of assets and the delivery of assets, and so we expect to take delivery of 8 aircraft this quarter. That may shift into one quarter or the next, depending on ultimately what happens. So, you probably have heard us say that we were at one point aspiring to have our XLRs down to 6 aircraft. We’re now at 11. So there was an opportunity with 5 of those aircraft, and ultimately, as Joe said, our job is to monetize and generate profits from these assets. And the transaction became less compelling from a disposal perspective than it did to not give the benefit away to somebody else. And so when we did this analysis in terms of the operational cost, especially when it comes to marginal routes within the network. When I say marginal routes, I mean, we all know that with this armada heading towards the Middle East from the United States, there’s been some airspace closures, and that has required us to reroute some of our flights around Egypt. And depending on what time of year, especially this time of year, you end up with tech stops. Tech stops are bad for cost. They drive more cost. They’re also bad from customer experience, which means that they dilute RASK. And so if you can deploy an XLR that still performs better than a ceo on a route that it can actually deliver on in terms of its mission, then you avoid that. And so that’s a very sensible utility of that asset. And so those are the things that we’re going to look at. Obviously, there’s some planning that needs to happen, and we don’t have unlimited XLRs, but we also don’t have too many of those routes. And so it’s an opportunity for us to bolster our reliability, which is an area of focus that I’m going to be bringing into the new job. To answer your question specifically, you know, 8 aircraft delivering, those will be a combination of mostly sale and leasebacks, some finance leases, like we’ve been doing. There’s also going to be an element of engines that we are taking and sale-leaseback at the same time. We’re not buying any incremental engines other than what we’re contracted to under the order book with Pratt & Whitney. So we’re keeping in line with our contractual commitments. And so really, we see that as part of our normal fleet evolution. So an element of sale-leasebacks will support the full year results as it has, but nothing out of the ordinary to what you would have been aware of through your discussions with my IR team and the regular engagement. When it comes to compensation headwinds going into fiscal year ‘27, well, I mean, you know, the good news is that we’re reducing the number of aircraft parked. We went from 35 to 33. The bad news is that we don’t get compensation for aircraft that aren’t parked. But that’s okay, because the good news is that those planes are flying. We’re not in the compensation business. So there will be a natural tapering down of compensation as the fleet unparks. The faster we unpark, the less compensation we get, the more we can return to flying. Yes, there’s a tension between where we are this year with the combination of unparking new deliveries and that fleet growth that we talked about. But ultimately, we’re focusing on that end of 2027 calendar year target. Again, it’s subject to Pratt & Whitney at the end of the day, which we are trying to influence, but we don’t control, and we’ll continue to focus on the core business. And that’s really, that’s really, that’s really what we are trying to convince ourselves and yourselves over the last quarter and the previous quarters, that just keep the head down, work hard at addressing the areas of the business that we’ve identified and deliver the results that we have told you to expect.
József Váradi: May I just come back to the first half growth rate and the way that growth is delivered? Because I think this is important to understand, because we are really not talking about bringing capacity into the system from the outside to create that growth. We are saying that we are using predominantly existing capacity to deliver that growth, and that’s very different because I’m already getting a lot of costs observed, you know, in the system already. So I’m already paying for the aircraft. So I’m paying rent for the aircraft. I also pay, you know, for some maintenance of that aircraft. So I would say that probably, you know, 25% of the costs are already in the system I’m paying for. So effectively, you are getting this capacity, what you are uplifting from the ground, but only 75% of the cost, as opposed to when you are bringing in new aircraft, then you pay 100% of the cost. I think this needs to be taken into account. And then when you look at the other source of growth through sector productivity, it’s even better from our perspective, because I’m pretty much using the same crew, the same aircraft, the same maintenance profile, and I’m gaining more productivity through that. So this is almost like a free capacity cost-wise. Of course, I pay variable cost, but I mean, a lot of the costs will be saved. So this is a very low-cost growth compared to previous growth profiles, when actually growth was fueled by the intake of aircraft. That was the way to create capacity. But this time around, this is all pretty much within the system, within the existing parameters of the fleet. All right.
Jaime Rowbotham: Jamie Rowbotham from Deutsche Bank. Two from me. First, just coming back to the Ukraine, József. Don’t know if you listened to Ryanair on Monday, but Michael O’Leary was talking about the airport charges in Ukraine. He seemed to be saying that the airports were stubbornly wanting to stick to tariff levels as published pre-war. Whereas they’d be looking for deep discounts on those tariffs to try and bring, you know, 5 million passengers back. If the tariffs stay as they are, maybe they’ll only look for 1 million. I just wondered where you guys stand on airport charges in Ukraine. And then the second one for Ian. Sorry to do this on your last appearance, Ian, but I just wanted to come back on James’s question about Q4 positives within the net other. I know compensation is a sensitive one, so I’ll leave that one alone. But on the sale and leasebacks, I hear you on the eight aircraft and some engines. I mean, it’s very difficult for anyone, I think, to establish what the quantum positive benefit might be from all those things in Q4. The way I would frame it is this, you know, you’ve just guided a very narrow range for net profit in the full year, EUR -25 million to +25 million. I think the sale and leaseback gains year to date are about EUR 90 million. I think you’re looking for as much again, if not more, maybe EUR 100 million in Q4 to deliver that sort of net profit outcome. Could you comment on that? Is that a sensible, you know, quantum for what you have in mind at the moment for those transactions and the benefit you get from them in Q4? Because without that, it’s very difficult for us to judge you on, on everything else.
József Váradi: Okay, maybe I answer the Ukraine question. So look, I mean, we have been in negotiations with Ukraine and airports for a long time. I mean, probably for 2 years. Even he made it to Ukraine, so he was in Kyiv. He made it back as well, so that’s good. So I think we have been very engaged with Ukraine. And you know, competitors do whatever they want to do. We will do whatever, you know, we think we should do. We are committed to Ukraine. Seriously, you know, we’re seeing that, well, Wizz Air is going to be de facto national carrier of Ukraine. And we will manage the business accordingly. Of course, you negotiate, and you try to get the best deal out of the system. Personally, I don’t think Ukraine needs Ryanair. I mean, we’ll do it. Some others will do it. You know, those guys do whatever they want to do. We’ll be there.
Ian Malin: Yes. In terms of the SLB, you’re right. There is going to be SLB activity. I mean, it’s unlikely that in this quarter, we’re going to see dramatic improvement to the maintenance and depreciation in airport lines. And so, yes, so I think in terms of math, there is going to be an element of SLBs that gets, that get us there. You know, we are 2 months away from the end of the year, so we have visibility as to how the year’s coming up. I mean, you know, like I said, we did have this XLR sort of pivot, and so how those ultimately get financed could end up impacting this year versus next year, but it’s a timing issue at the end of the day. They’re going to get financed, and we just have to execute on that. But ultimately, you know, the SLBs are part and parcel to the business, and so we will take them, and we will benefit from them. We may end up financing those XLRs instead of doing SLBs because financing them allows us the flexibility to terminate the deals sooner if we decide down the road we no longer need the XLRs, and we want to move them on to a different operator. And that then will impact the amount of gain that happens, but ultimately, the SLBs are certainly an element of the Q4 numbers.
Harry Gowers: It’s Harry Gowers from JPMorgan. First question, if we could just go back on the capacity growth for summer, just in terms of what you can control. I mean, Joe, you mentioned before around that de-risked, kind of more mature capacity growth profile in the network. I mean, are there any other positive things you can do to help drive pricing when the growth is that high? And I guess, Ian, that will be something for you in your new role. And then, second question, if you could just talk about growth in the UK, actually, you know, where you’re putting aircraft and how you see the market dynamics in terms of supply versus demand at the moment for the UK?
József Váradi: All right. So with regard to first half capacity growth, you know, one of the things what we are doing. So I would say that, you know, this capacity growth is delivered at a lot lower cost than otherwise, because it is all from within. So pretty much by activating existing capacity, which partly we are already paying for, certainly on certain cost items. But the second thing what we are doing is that, I think we are really enhancing the proposition, the product to the market, to tap into different consumer needs. So we’re going to be coming across a lot more segmented than before. I mean, densifying is significant. We are adding frequencies on certain routes. I mean, creating effectively a product for business travelers. I mean, you know, the business traveler has a deeper pocket. So through that, there is revenue enhancement coming through segmentations. So we’re seeing that, again, this is not just spreading the network and [Technical Difficulty] starting from [Technical Difficulty]. Some of these capacity deployments may actually be profit-enhancing, given the improvement on product quality and being able to reach high-spending customer segments. With regard to the UK, actually, we like the UK, believe it or not. And I just talked to someone yesterday, and she said that, you know, Christmas retail was disastrous in the UK. But this is not what we are seeing. What we are seeing is that we are seeing a continuously rising demand for our products. Actually, our performance is improving very significantly in the UK after cutting some of the fashionable capacity and resizing the business at Gatwick. Now we are really into growth mode in Luton. I think we are stabilizing our Gatwick performance. So the UK, as far as I’m concerned, is an investable market. The bigger issue we have in the UK is the strains on capacity, so our ability to grow on capacity due to the infrastructure constraints. So Luton is stuck at the moment. They have all sorts of reconstruction issues and passenger limits. Gatwick just is put into the right place in terms of capacity versus demand. But we are seeking opportunities to continue to grow our presence here and our market positions. We do a lot more inbound flying, for example, to tackle the overall slot issues at the airport. So as far as we are concerned, UK remains an investable market.
Ian Malin: Yes, I think Joe covered it very well, but just the one point that I would emphasize is that while we’ve got this growth, we acknowledge that it’s there. We’ve also created extra growth by churning our network, which created growth inadvertently. So it’s not just new capacity, but it’s just redeploying capacity onto new within the network, which is effectively the same as growth. It creates immature capacity that we have to manage, and that’s something that we’re going to bring down. We did some analysis and some benchmarking, and in the last 12 months, we’ve churned our network 9 times more than the industry average. And so that causes all sorts of issues around the network in terms of what you can do. In terms of price stimulation, you have to lower your prices, but also, it creates havoc with regards to the costs. And so, for example, just looking at airports, you know, why would you incentivize Wizz to bring a new route on if they know that after the incentives expire, we’re going to disappear and move on, right? So we need to be sure that we’re creating a more stable, more reliable network. And reliability, you’ve seen come through the disruption line, like this summer, where we had a huge improvement, and it’s staying stable this year. And so reliability helps from a cost perspective. It helps, not just in the disruption cost, but in crew and on airports, and it also helps in a revenue perspective. So that’s one of the key pillars of our focus going forward.
Alexander Irving: Alex Irving from Bernstein, 2 from me, please. I’ll start, again with the growth in summer 2026. You’re talking about 24% ASK, but think about the risk profile of that as it plays RASK. How does that break down into gauge frequency between existing airports and then new airports in the network? And then maybe related to that, how does that then interplay with your airport costs as we think about that development into this summer and beyond? Second question, really for a confirm or deny on this one. I’ve heard it suggested that there’s no more GTF compensation coming beyond the end of calendar 2026. Is that accurate, or as long as AOGs, you still get paid roughly a day rate per grounded engine, grounded plane?
József Váradi: Okay, let me start with the GTF thing, because I’ve been involved into this, personally. I think there is a Pratt & Whitney line, and there is a Wizz Air matter. So the Pratt & Whitney line is that, they don’t want to extend, compensation on a blind basis to all airlines beyond 2026, but we managed to negotiate a different agreement. You recall last year, we confirmed more aircraft to be powered, by GTF. I mean, you can imagine that that discussion was leveraged. And, we are fully covered until end of 2027. So I think you can be totally relaxed with, with that regard. But indeed, the industry line is different from that. But Wizz Air is the single largest operator of Pratt & Whitney, and we have probably the most significant forward-looking commitment as well to Pratt & Whitney. So I think you should reasonably expect that we are treated a little differentiated versus the rest of the industry. So that’s GTF. With regard to the profile of growth, I mean, maybe you want to deep dive into it, but maybe my commentary would be that, I mean, of course, when you are growing that much, you are trying to take this leverage against the airport community. So we are looking at reshuffling some capacity according to airport deals. But at the same time, we also have to take note of certain facts. I mean, one fact is capacity scarcity is becoming a phenomenon in many places that are new. So if you look at Central and Eastern Europe, I remember when we started, no one was thinking about slots and capacity scarcity. Now you are seeing it in Bucharest, in Warsaw, in Budapest. So whether we like it or not, what it does, obviously, it puts pressure on charges and airport charges, because when you are scarce on capacity as an airport, why the hell, you know, should you discount that capacity, because it’s a high demand? So, you know, you have these controversies that you want to have your strongholds and fortified presence, and those airports might be constrained airports, and you have kind of minimal room to maneuver. But at the same time, you still have, given the high growth rate, what you are delivering, you know, some room to maneuver to shift capacity according to airport cost and airport deal. So you have this kind of duality we are managing. Maybe you want to comment on Ian, on the way of allocating the growth capacity.
Ian Malin: Yes, look, I mean, you’ve seen from what we’ve put in this presentation, we are deploying capacity into our core markets where we have a cost advantage. And that’s deliberate because obviously, you know, we’re in the cost business. But if we can operate at a lower cost, then obviously that allows us to be more competitive on the fares. And as Joe said, some of those bigger airports where we have strongholds, we will continue to fortify so that we maintain leadership. But we are also seeing different flows. We have the equivalent of our sunbelt in Europe now, which is the sort of east-west across Spain to Italy, Spain, Greece, you know, those sorts of places. And so with the Italian presence that we have, where we have invested significantly recently, we are looking at flows that we hadn’t spotted before or hadn’t taken advantage of before, maybe. And likewise, to and from Central Eastern Europe. It’s not just the export of its Eastern Europeans to Europe, but also it’s bringing people from west to east. And our focus is really on identifying those opportunities where we can generate sufficient profitability year-round so that we are less impacted by the seasonality in Europe. And so in fact, all of our aircraft now for summer are fully deployed and on sale, barring one announcement next week. And that will give us the lead time to be able to work on accelerating, accelerating the maturity profile. We used to think that it took a year or so to get to profitability on a route, and then maybe by the second or third year, we would sort of have it be mature. That timeline doesn’t work for us anymore, and so we need to focus on this fortification, where we already have a market leadership, and then flex that market leadership in a way that we activate the base that knows what Wizz is. And then, as Joe said, expanding the Wizz franchise, so that we are more appealing to different types of passengers, and that will help offset the growth on the RASK pressure.
József Váradi: I would add one more perspective to those, because I think we are kind of taking it almost like an isolated issue from context. But you have to look at the context. I mean, not many airlines in Europe are growing. So when you are talking about growth, yes, it may be high on us, but when you look at it from an industry perspective, this is still not outrageous. So this is not like the whole industry is growing like hell, and we are one of the craziest to do that. I mean, we are the one growing. Effectively, we are taking advantage of our positions that we are able to grow, while others are not able to grow because of fleet constraints or whatever they have. So, I don’t think that you should be ignoring that context. So yes, the 24% ASK is a big number, but we are pretty much the only one growing, and all others are kind of stuck with what they have at the moment, and I think that actually gives us a competitive advantage.
Muneeba Kayani: Muneeba Kayani, Bank of America. So continuing on the kind of quest, cost questions for fiscal ‘27. Just you mentioned, if you could help us on some of those modeling. You said depreciation costs and maintenance costs would be higher. Any way you could help us quantify that? And then we’ve had the discussion around the productivity improvements from the higher ASK, but then these higher costs as well. So net, net, where are we landing up, you think, right now? A higher unit cost ex-fuel for fiscal ‘27, while RASK goes down. Is that how to think about it, big picture? I know you don’t have guidance at this point.
Ian Malin: Yes. So, so you’re right. We’re not guiding, yet. We will, as we get, to the full year results. But in terms of maintenance, yes, there’s still going to be pressure on that just because of the 19 ceos that are returning next year, and those are event-driven costs. Depreciation is one of those areas where we will start to see the turn in this year, and it’s, and I would say that that’s probably likely to be flat, just because we are starting to have the exit of the more expensive depreciation aircraft as included, including this year’s retirements. However, that, that is, that benefit is being pushed up against the fact that the GTFs in their current durability profile require more frequent maintenance than anticipated. When you do more frequent maintenance intervals, you start to capture some of that depreciation that was historically backloaded sooner. You have the benefit of that, the new aircraft being less beneficial against the detriment of older aircraft. It’s a moving feast at this point and something that we’re analyzing. But I would say that the biggest headwind that we’re going to be seeing next year to CASK is going to be the change in one-offs, as you call them, or as I guess the accountants call them, which is on the sale leaseback gains. So we will not benefit as much next year on sale leasebacks as we did this year, and so that will create a headwind that the rest of the cost base is going to have to overcome. So when looking at total ex-fuel CASK, I think you’re going to start to see improvements. However, there’s going to be a headwind from the falloff of sale leaseback gains, which will offset sort of core cost improvements, and so that’s where it’s tricky. So we’re not guiding it on where CASK is going to be. Obviously, as we get through this year into fiscal year 2028, you’re going to start to see strong CASK improvements, but it’s still a transitional year, where it’s still too early to give you a view as to whether CASK will go down, up, flat, whatever the case may be. So we’re reserving the right on that for now. And in terms of RASK, yes, there’s going to be pressure on that, but I think that with some of the applications of these concepts that we just talked about in the last question, we’re less inclined to accept a stronger RASK. As strong as a RASK dilution is what you’re implying through your question.
József Váradi: I think if you want to kind of net it all in, we are expecting margin improvement coming through the next financial year. I think the magnitude is yet to be confirmed and yet to be guided, but we’re seeing that all in, we should deliver better results in fiscal ‘27 than in fiscal ‘26.
Conroy Gaynor: Conroy Gaynor from Bloomberg Intelligence. So first question, just on, on the fuel. How might you start to think about fuel going forward, just given SAF and certain environmental measures? Will there be perhaps a higher inflationary component within that, or is there now more volatile component that you have to think about? And how might that impact the way you communicate your outlook to us? And then the other 1 was on, on Saudi. Just to pick up on your comments about it essentially being a positive read across for, for entering other new markets. And some may say with Saudi, it’s a very unique market in terms of the types of traffic flows you get, including religious traffic flow. So, so what parts of it do you think actually do read across into other markets?
József Váradi: Yes, maybe I take the Saudi. I don’t know, maybe nothing, to be honest. I mean, I agree with you that I think Saudi is a unique market. This religious traffic is a significant driver of what we are delivering on those routes, and the applicability of that may be none for anything else. And that’s why I’m saying that we should just be relaxed on the XLR, because if we find a way to operate the XLR as XLR with proper profitability, we’ll do that. If we don’t find it, we just operate the XLR as a normal A321. So I think that kind of takes the pressure off, from the organization to definitely deploy, these aircraft on long routes, and take the risk on financial performance. So we are not going to take risk on financial performance. Either we get ourselves convinced that this is a profitable flight pretty much from day 1, like what we are achieving in Saudi. If we are unable to define that, then we are not going to do it, and we just operate the aircraft as normal A321. So back to your first, I don’t know. I mean, maybe it’s applicable, maybe it’s not, but we are not under pressure to, to follow the Saudi route, if you, if you want to put it that way.
Ian Malin: Look, fuel efficiency for us is extremely important because of the Wizz position of being one of the, if not the world’s most emissions-efficient airline out there. From a SAF perspective, you know, we comply with our purchase obligations, and we go through the same challenges as everybody else. Thankfully, because, you know, we are as efficient as we are, we don’t need to buy. We probably have to buy less than other people who have to consume more fuel, which is good. We continue to hold the investments in the 2 SAF production facilities or production concepts that we invested in. And those are moving forward, although we’re not going to see any meaningful benefit from that until the end of the decade in terms of, you know, having access to the offtake agreements. But that’s something that we’re promoting and excited about. But ultimately, you know, when it comes to our volatility, we’re smoothing that out through the hedging program that has been in place since the beginning of F ‘24. We follow that religiously and, without any speculation, and we have recently conducted a benchmark of our policy against the peer group, and we’ve made some enhancements to make sure that we are remaining competitive on that, and we’ll continue to follow that. And obviously, where things are right now, we are in a favorable fuel environment, and we’re locking that in. So the combination of prudence when it comes to risk management on the fuel and the FX portion of fuel, on top of the efficiency as we get rid of the inefficient aircraft and move towards these. And you can see that through the fuel unit cost when you benchmark it against Ryanair on a stage length adjusted basis, we are miles ahead. And I think that’s something that you need to factor in when looking at the overall aircraft ownership costs, is that if you aggregate aircraft maintenance and fuel and you compare it to the peer group, it actually looks far more compelling than if you just look at it on the raw numbers as presented.
József Váradi: I think that’s really an important point. And, you know, when you look at the merit of the aircraft, you know, some people say that there is no such thing as good aircraft, there’s only cheap aircraft. That’s actually not true. So if you really take a more holistic view on the aircraft cost, and you include, you know, fuel burn, you include, you know, capital cost, ownership cost, you include maintenance cost, probably these are the things you should add up, and kind of compare, and then you understand the value of the aircraft. And, you know, we are getting cleaner and cleaner on the aircraft side. So all these aircraft are superior. They represent better value than alternative aircraft. They will be flying, as opposed to partially being grounded. So that kind of a value coming through the aircraft line, which is going to be a lot more visible and a lot more impactful on the performance of the business going forward. So I think it is important to understand, because this is the single biggest drag on the business at the moment. We don’t shine on the aircraft, and we should be shining on the aircraft because it’s a better aircraft than any of the other guys have.
Conor Dwyer: Conor Dwyer from Citibank. First question was on maintenance. Obviously, a bit of a headwind this year, but into next year and the year after, still looks like quite a few redeliveries. I think it’s 25 and 14. Do you think as a result of that, that’s still going to be leading to kind of a lot of provisioning for maintenance in those years as well? And then the second question is kind of back to your comment around margins potentially being up next year. Broadly, from your comments, it seems like overall non-fuel unit costs, kind of the improvements in the underlying business being offset by sale and leaseback gains. I think a lot of models in the market are doing kind of unit revenue up slightly this coming year. But, you know, with capacity growth at 10% this year, unit revenue flat, there’s quite an acceleration into next year. I’m wondering, how can we think about that bridge of margins coming up? Is it, is it fuel? Is that a big component? Is it financing? Any help you can give on that would be super helpful.
Ian Malin: Okay, I’ll take the first one on the maintenance provisioning. Yes, I think you were, those numbers you were referring to were probably calendar year numbers, and so I’ve only got them committed to memory in fiscal year. So it was 18 this fiscal year, 19 next fiscal year, 16 in F ‘28, and then I think we’re basically, you know, just a handful left. And so, yeah, those will come with elevated costs. Event-related costs is how I’m referring to them. And the challenge I think that we’ve faced so far is that we were competing. Our resources, internal and external, were competing with the challenges of powder metal and redeliveries and trying to keep the fleet flying and manage whatever we could. As every day goes by, we get better at managing the powder metal issue, and now we’re putting all of our attention on the end of lease side of things because of the huge pressure it’s putting on the maintenance line, while making sure that we have the base capacity available for the operating fleet. So I think we’ll get better at it, but there is going to be an inherent event-driven exceptional cost pressure coming through the next few years on maintenance that we will not be able to avoid. It is simply what is required in order to put these aircraft back into return conditions and to comply with the contracts. Otherwise, you pay a lot worse, which is lesser compensation, right? So you had the option to pay the lessor or cash, which they’d love to have, but at our scale and our rates in the maintenance ecosystem, it’s better for us to do the work. But of course, it impacts all sorts of things like availability of slots at the facilities. It takes down utilization because you have to obviously take the aircraft out of the fleet in order to allow for the time that the aircraft are maintained, and so that has those pressures. But that’s just part of the transition and the cleaning up of the business. But there’s going to be elevated maintenance costs and the associated maintenance depreciation that flows through the maintenance, through the depreciation line that comes with the exiting of the aircraft. If we didn’t have the new aircraft coming in, there’d be some opportunity to extend ceos, as our friend Andrew likes to write about, but unfortunately, that would just add more capacity at this point. And so we have to, we have to balance the trade-off of, you know, what -- but what even more growth would mean versus trying to migrate the older aircraft out and benefit from the harmonized efficiency of an A321-only fleet.
József Váradi: So maybe on the margin, on the margin issue. So I can tell you that we actually have quite a number of markets where we are growing 20%+, and RASK is improving, going into positive territories. And we have a few markets where we are not really growing, and RASK is down. So obviously, what you do is that you address the underperforming parts of the business, and you explore the overperforming parts of the business. And I think the way we are allocating capacity through this growth period in the first half is trying to embark on that principle. As Ian said, yes, I mean, of course, high growth always gives you some kind of a containment on unit revenue improvement, but I think you have to look at it in context of competition. I mean, competition is pretty much benign. I mean, doing nothing. I mean, we are not really seeing any significant competitive activities pretty much anywhere in our markets. I mean, you know, we have been discussing Albania due to the other guys, that they’ve been very topical on Albania. But the fact of the matter is that we are 3 times the size of Ryanair in Tirana, and our financial performance is improving. So I mean, just because 1 guy is saying something, that doesn’t mean that there is anything close to the realities. I think they are starting, or they are stating ambitions as opposed to actual realities. So, you know, we actually feel very comfortable with the redesigned network, and the way we are allocating new capacity there against the competitive backdrop, against the strengths of the brand and awareness of the brand, what we have been achieving. So I don’t think that RASK is going to come through as a detrimental issue to the performance of the company in terms of margin. Now, we will have to see how exactly the cost line is going to play out, given all the issues, and we have still a few decisions we will have to make that would affect maintenance cost and, you know, when to amortize some of these maintenance lines. But we’re seeing, I said, that fiscal ‘27 is going to be an improvement on margin versus ‘26.
Andrew Lobbenberg: It’s Andrew Lobbenberg from Barclays. Can I ask about the journey to diversifying your aircraft financing structure, which I think you spoke about previously, but doesn’t seem to get a lot of profile today? How hard is it to kick the habit of the SLB gains, I guess? And then in terms of competitive pressures, Joe, you just said that there, there’s no competitive threats around the network, despite Michael’s comments. Can you talk about the big Eastern European markets and, you know, what the trading trends are like in Poland, Hungary, Romania, I guess?
József Váradi: All right. So let’s talk about the competition first. Well, our market share, as we speak, is up to 26%. That’s nearly a 2 percentage point improvement. And the other guys are flat or down slightly. So Andrew, the problem I’m having is that, I mean, this guy is talking a lot of rubbish, which are simply untrue. I know that the whole media nowadays is checking the facts on what Trump is saying. Maybe someone should be checking the facts of, you know, some of the other guys are saying. So this is simply not true. So we are gaining foothold in Central and Eastern Europe, you know, at the detriment of all others, including Ryanair. So when you look at Poland in particular, the Ryanair leadership gap has been closed to a large extent. They had double-digit margin points. I think we are kind of mid single digit now, given the capacity deployments in the country. Romania, we are 50% of the market in Romania, and our market share has been growing. So again, if you fact-checked the system, I mean, you know, kind of standstill on one side and significant growth on the other side. So if you just look at Poland, what we have done recently, pretty much to every operating base, we have a nice new aircraft. We opened up secondary airport in Warsaw, Warsaw-Modlin. If you look at what’s been happening in Romania, in the past year, we have been adding aircraft to almost every single base we have in Romania, and we opened up the secondary airport in Bucharest, Băneasa, Băneasa Airport. So, maybe we don’t bark like a dog, but we have been doing a lot in both of these markets in particular. And by the way, the other topical issue is Tirana, as in just very recently, we have been adding 2-3 aircraft to Tirana, enhancing our market leadership position. Again, we are 3 times the size of the other guys. So, Central and Eastern Europe has been going from strength to strength, as far as we are concerned, in terms of competitive dynamics. So, I mean, some of it, of course, is an investment into the future, but these investments tend to mature actually pretty fast and quite well. So, we feel very good about the competitive strength of Wizz Air in Central and Eastern Europe. And going beyond Central and Eastern Europe, you must have noticed that we have been quite active in Italy, announcing new aircraft deployments in Italy, Milan, not far out, Venice, Rome.
Ian Malin: Catania.
József Váradi: Catania. More to come next week. Actually, we are building a lot of strengths in Italy. We ended up sponsoring AS Roma, which we think is a step up in terms of stimulating brand awareness and reputation in the marketplace. So it is not just Central and Eastern Europe, but we are also picking up the pace in some of the other markets.
Ian Malin: So in terms of the journey to diversify, so it is a journey. Not something that we feel that we need to immediately launch into, because to some extent, we’re already diversifying through the Jolcos that we do. And I think roughly 50 aircraft in our fleet are under some sort of ownership structure, whether it be Jolco or finance lease. But that’s what I think, Andrew, you’re referring to and what we’ve spoken about in the past, and certainly in material that I’ve put out there, is a more focused effort towards owned aircraft. And that is something that is certainly in our roadmap, and we plan on talking about that during the Capital Markets Day. The good news is that we have aligned on a date, internally, Joe and I, and we’ll be communicating that date through the investor relations team to you. And it’s-- we have plenty of time to plan for that, and that’s where we’re going to, we’re going to break it down in detail. The reason why we’re less compelled to jump into it now is 2 reasons. One is that basically, the next 12-15 months’ worth of aircraft are already committed into some sort of form of financing. And so even if I said, I want to do X-- I want to buy X aircraft today, I can’t, I can’t do anything for another 15 months anyway on that. And so, so we have some time, but also, I don’t think it’s appropriate when you talk about journey, right? We’re talking about consistency, stability, reliability, predictability, in terms of what we’re telling you we want to do and what we actually print when it comes to results. And so this quarter and the last 2 quarters have been deliberately, I would say, without fanfare. We just want to simply deliver on what we say. And if I start taking away things like, say, leasebacks, which, as we’ve discussed through the questions, this business does use as part of its profit structure, then it’s not going to deliver the consistency and the reliability that we’re so working so hard to bring, right? The biggest takeaway that I’ve seen from the conversations I’ve had with you today is that, you know, there’s still a surprise that we’re delivering on the consistency, and we want to make sure that, you know, we eliminate that surprise and simply deliver. So I’m trying to keep as much unchanged as possible so that we can focus on the pillars of our business, which is to be, you know, ruthless on cost, and reliable when it comes to operations, reliable when it comes to the commercial decisions that we make. So there is certainly a lot of work that’s gone into that, and that’s something that we discussed as recently as yesterday with our board. But it’s not something that we’re ready to go to market with because we think that we can do better in terms of just delivering on the expectations and making sure that we set the right expectations for the next quarter, so we can repeat what we’ve done in the last 2 quarters. Two quarters is not yet enough for a pattern.
Operator: We’ll take our first online question from Jarrod Castle.
Jarrod Castle: Yes, 2 for me as well. I mean, you mentioned commercial areas, yes, and, you know, I just wanted to get some color on what your thoughts would be, I guess, yes, and József on, you know, something like Starlink. We’ve obviously seen comments from Ryanair and easyJet today, so WiFi. And secondly, you know, maintenance shops, obviously, costs there, you, you know, are, are, are impacting you, and obviously, you know, a large competitor is rolling out, maintenance shops, so, thoughts there. And then just secondly, you know, your comments on costs for ‘27. I mean, I, I assume, you know, you’re talking more constant currency, but, you know, clearly the US dollar is coming under a lot of pressure. So, you know, any color that you want to share on that front? I mean, I can obviously see your dollar hedging, but you know, just some color there, how you see things.
József Váradi: Maybe I just pick up the first one. So with regard to WiFi and onboard connectivity, I can tell you that personally, I have been looking at it for 15 years, probably 6 or 7 different iterations. And you have 2 challenges with that, 1 is that you need a technology that actually performs, and 2, you need the economic model that actually makes sense from a financial standpoint. One thing, what you have learned in this industry is that people will not pay for this. If you’re seeing they do, you are naive. It’s just not going to happen. So with regard to technology, I think Starlink’s is kind of the technology that delivers what you need. But it may not deliver the economic side of the equation because you may think that this is overcharged. And unless you find a sponsor, who is prepared to, pay for that, you know, for sure, you’re going to be ending up with the cost of, operating the system, with no visible benefit, on the revenue side because people won’t pay for it. So you have to get those 2 things right, to move forward with WiFi. I think we are, you know, very upbeat on the WiFi connectivity opportunity. I said, you know, I, I’ve been looking at it on a constant basis, pretty much. But you need to get the technology right. As the technology is coming, but you also need to get the economic model right on that. But with regard to maintenance shop, I mean, I would just like to draw your attention to a very major difference between maintaining Pratt & Whitney engines versus maintaining CFM engines. But first of all, when you think of aircraft maintenance, you know, 70%-80% of the cost of aircraft maintenance are associated with engines. So effectively, you are talking about engine maintenance when you think about it structurally. CFM doesn’t underwrite the product. So the CFM philosophy is that, you know, we are big enough, we created a market. It’s sufficient enough, take advantage of market airline. That’s not our business. Pratt & Whitney is totally different. Pratt & Whitney underwrites the product and effectively guarantees the infrastructure for maintaining the engines. So we are not as widely affected by market volatilities, when it comes to engine maintenance as the other guys. And I know that, you know, there is a huge inflation creeping through, labor in the maintenance space, all over. That’s a global phenomenon. So this is not down to 1 or 2 guys, but we are contractually protected, against the inflationary pressure. It doesn’t mean that we are totally isolated from that issue. So, we are not immune, but we are a lot more protected. So while you are seeing some other guys seeing 2x, 3x of maintenance cost creep, we are nowhere near to it. I mean, we are still talking about, I don’t know, you know, some fairly nominal inflationary rate flowing through the other system. So this is a major difference. So I think this should be a competitive advantage for us going forward. Unfortunately, that competitive advantage at the moment is tainted because of the powder metal groundings, etc. But once we are clean, I think our ability to manage maintenance costs against market volatility will turn into a competitive benefit for Wizz.
Ian Malin: So, Jarrod, with regards to the benefits of the US dollar, I mean, absolutely, you know, [ 1.20 ] is something that makes us excited. We benefit in the form of obviously our rent. Most of our rent is paid in dollars for the aircraft, although we do have a good proportion of rent that we’ve originally put in place in euro. The new aircraft that are delivering, they get swapped into euro rents through our latest evolution in our risk management, through our balance sheet hedging or our lease liability hedging. And in fact, there’s a request today for 4 more deliveries to be swapped in, so we’ll get the benefit of that. In terms of the rest of our cost structure, it’s we’re less exposed to dollars than most airlines because we’ve been looking to contract in euro as much as possible to create a natural hedge. So for example, a lot of our maintenance we’re able to do in euros because we don’t perform maintenance too much outside of Europe. It’s mostly in Europe. So, but there is a heavy element of dollars still in this business, and so that will help us. The funny thing about this journey to ownership is that when you buy an aircraft, you establish a future residual value number. The appraisal is done in dollars because that’s what the purchase of the aircraft is done in. And so you set some residual value number, and then you depreciate down to it over the period of time. But as the US dollar weakens, actually your depreciation grows because you’re now depreciating to a lower US dollar amount, which means you have to take more. So there’s a risk there that we have to manage, but I think that there’s ways we can deal with that through our risk management program. So overall, there’s a benefit there, but it’s not something that, Jarrod, I would be able to quantify at this point. In terms of the commercial other areas, I mean, I think Joe summarized the WiFi side. Of course, we’re in discussions with Starlink. We understand the costs of it, but we’re not prepared to incur the CASK that comes with that without somebody helping us offset that, because it would simply go against, you know, the ultimate strategy that we’re pursuing. And maybe I’ll just take the opportunity just to fill you in on some of the key themes that I’m going to be focusing on going forward. Basically, got 4 that I really just want you to hear now so that we can start to follow up on them. One is that we have to be, and we will be ruthless on the cost gap, okay? That’s something that you can see is there, and that’s something that I want to eliminate, and the way that we need to do that is by way of productivity. So productivity means fleet utilization and crew utilization, and so making sure that we can be as productive with that. That is core to the model, especially with the kind of aircraft that we operate, and so that’s the first pillar. The second is that we’re growing, and we need to grow better. So how we grow is critical, so we need to grow better. That is, you know, establishing those fortress positions, deploying capacity into core markets where we have a cost advantage. The third is reliability, right? Everyone associates reliability with the cost benefit, so you have lower disruption costs, but you also end up with, like I said earlier, in terms of lower crew costs. But also reliability is a RASK lever. The more reliable you are, the more confident the customer and the consumer is going to be in purchasing tickets with Wizz. And the more customers we can identify, the higher we can charge in terms of supply and demand. And the last is that we need to expand the Wizz franchise, right? Everyone associates Wizz with a certain customer profile. One of the things that Mike and I have been talking about a lot is tailoring the schedule for the specific customer segment, capture the high flyers, the high-value flyers, without sacrificing utilization. Establishing route quality metrics to align with customer needs and pushing ancillaries. And so we, you know, things like what we’re looking at, like, Wizz Class, for example. Pushing things like that, but ring-fencing them so that we keep the ULCC model. So trying those things, squeezing more out of our flights that may have lower load factors by looking at products like that, but keeping the ULCC model, so ring-fencing them. So that’s those are the 4 areas: ruthless on cost, grow better, reliability, and expanding the Wizz franchise. That’s extremely important to us, and that’s the direction we’ll be taking this business going forward.
Operator: [Operator Instructions] There are no further questions on the webinar. I’ll now hand over to management for closing remarks.
József Váradi: Well, thank you. I mean, I think I would just like to close it with, with the notion of, you know, I think we are on the path to, reset this business. We don’t want to cause any new surprises. I think we’ve got enough of those, in the past few years. We are still in transition, so please don’t expect, you know, performance taking us to the moon yet. But, you know, we are not far away now from a vision, when, you know, the operating model is going to be back into where it used to be. We’re going to be clean, of many of these issues we continue to carry, like groundings. Fleet transition is going to be completed in 2 years. So, I think we are moving along the track and we are projecting performance alongside our expectations, what we were trying to reset with you previously. Thank you.
Operator: Thank you for joining today’s call. We’re no longer live. Have a nice day.